Operator: Good morning, and welcome to Galaxy Digital’s Second Quarter 2021 Earnings Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. Following the formal remarks, we’ll conduct a question-and-answer session. Webcast participants can submit a question online directly through the webcast. Further instructions will be provided as Q&A begins. At this time, I’d like to turn the conference over to Galaxy’s Investor Relations team. Please go ahead. You may begin.
Unidentified Company Representative: Good morning and welcome to Galaxy Digital’s second quarter shareholder update call. Before we begin, please note that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors, including those identified in our filings with the Canadian Securities Regulatory Authorities on SEDAR and available on our website or in future filings we make with other securities regulators. Forward-looking statements speak only as of today and will not be updated. In addition, none of the information on this call constitutes a recommendation, solicitation or offer by Galaxy Digital or its affiliates to buy or sell securities, including Galaxy Digital Securities. With that, I’ll now turn it over to Mike Novogratz, Founder, CEO and Chairman of Galaxy Digital.
Michael Novogratz: Good morning everyone. I got a script but I decided it would be appropriate to maybe go off script a little bit this morning to start. First, I don't think it is right not to recognize the tragedy that’s happened over the last few days in Afghanistan. And as much as I worry about the young girls, I worry about young guys, I worry about the future of the Afghani public, I can go on for hours on that, I want to talk a little about their wealth because I would bet dimes to dollars that today, tomorrow, sometime in the next week bank accounts will be frozen and wealth will be confiscated. I pray that's not the truth but I'm almost certain it will be. Which goes to part of our mission, right, part of the mission of the cryptocurrency community, part of Bitcoin’s mission is to give the world a leisure where wealth can be stored safely, where governments can't come and take your money, they can’t deflate it away. And so as horrible as these actions have been the last few days it's kind of doubled my passion for us building this new ecosystem.  I will stop there on that. Just let me give you a little bit of macro context of what has happened since last I spoke to you, right. We had a spectacularly good first quarter. Crypto prices were going to the moon, lots of money pouring into the system, Bitcoin got to 60,000, Ethereum got to 4,000. And then we had a really significant correction. We had a correction first in  where prices had probably got ahead of themselves but most importantly China decided they didn't want to be part of the crypto community. They did not want to be part of a decentralized system that cares about freedom and privacy. They wanted a centralized system where they can control things. And from Bitcoin mining to Bitcoin trading to crypto in general having one of the biggest economies in the world pull out, certainly was significant. We also had the Biden administration’s team finally starting to kind of get engaged and this regulatory drift from the U.S. scared people. And so crypto prices went down significantly, right, Bitcoin fell over 50% high to low, 41% in the quarter. Some people thought about a crypto winter, right. I always thought a) at best this is crypto’s sniffles because what we saw was more talented people coming into this space, we saw private equity, venture, growth equity pouring into this space. And most importantly I think we saw at the very end and why crypto prices are back up, right. We're back 47,000 in Bitcoin tonight, last night both Solana and LUNA put an all-time high as level one solutions. The NFT business is exploding.  We saw just last weekend with the U.S. Congress trying to slip in or Treasury trying to slip in crypto regulations through an infrastructure belt. The power of the crypto community, within three days the broader crypto community mobilized and roared and Washington DC and the whole Congress heard for the first time that there are 60 million to 70 million American voters that really care passionately about this ecosystem, about providing a new infrastructure that's more fair and more transparent. And so I think it was an unbelievable wakeup call, it has left me more bullish than I have been. Crypto prices are higher with a really horrific  legislation being passed. They are higher because people know that's going to have to get changed and so I'm more bullish than I've been. Listen, we lost money last quarter. We lost about 10%, little more than 10% of our equity and that's when Bitcoin will be down 41%, that doesn't bother me. We are already at more than made up with it this quarter and our business is hitting on all cylinders.  I'm going to go through some metrics of why that didn't bother me, of the excitement we're seeing in our business, and I'm going to pass over to Chris and Alex and Damien who are going to fill you in with some more details. So on the year we remain significantly profitable and in that context 684 million in the first half of 2021. Same quarter results were primarily impacted by elevated volatility and declining crypto asset prices and notably Bitcoin which declined 41% point to point. These headwinds have stayed since the end of June and have been offset by strong tailwinds adoption across the whole ecosystem. It is important remember that when we look at the business, the long-term art of adoption of digital assets in crypto matters far more than the businesses we are building and far more to the business that we are building and quarterly price movements and balance sheet marking. We view the adoption battle as hard one, stickier, and more financially impactful overtime in short-term price moves.  Alright, counter party trading volumes grew 90% quarter-over-quarter in Q2. We continue to see strong demand across our trading and lending businesses and it's worth noting we kept our disciplined underwriting approach unchanged. Galaxy Digital asset management’s AUM increased over 12% sequentially in Q2 and surpassed 1.6 billion in July even with crypto price headwinds. We have been very busy launching new funds like our venture fund of funds since we spoke last May. All our business lines continued to focus on scaling, meeting the needs of the addressable markets, and directing our profits of the firm into incrementally attractive opportunities. And the flywheel from our investing book continued to be a sourcing network for monetization across our entire platform.  Beyond our financial operational performance I want to hit on a few key updates around our strategy. We continue to grow our headcount rapidly as we look to meet growing demands on our businesses. We grew headcount roughly 45% since the end of the first quarter and now over 220 employees globally. To put that in perspective year-to-date we have nearly doubled our staff and assuming BitGo closed by the end of the year we will be over 400 -- well over 400 full time employees. We're also thrilled to announce that we're bringing on Jennifer Lee as Chief People Officer this September. Jennifer will join Galaxy from BlackRock where she most recently served as Managing Director and Global HR Business Partner for Technology and the Chief Operating Officer. Jennifer brings over 20 years of people management benefits and strategy experience and joins the company to lead talent management and human resources globally.  We remain on track to close and integrate the acquisition of BitGo. The Galaxy BitGo teams are working closely together on how to effectively combine from day one the focus on delivering the one stop shop experience we expect to get from this acquisition. Chris will provide additional details on the integration planning in his comments today. We have formally kicked off a more concerted expansion effort in EMEA. We're pleased to announce that we have hired Tim Grant as Head of Europe as part of that effort. Tim joins us from the Swiss Exchange SIX Group where he was CEO of their digital asset exchange SDX and he brings 20 years’ experience across crypto, fintech, and capital markets. During our annual meeting in late June shareholders voted to equitize our wider employee base, to ensure the full Galaxy team is aligned with our long-term goals. As we have previously announced, prior to closing and subject to regulatory approvals, we plan to re-domicile and list in the U.S.  Now I would like to shift my comments to what I'm seeing in this space and what we believe is meaningful for investors to understand at a macro level. The adoption of cryptocurrency remains healthy even after the periods of elevated volatility, various concerns raised, and actions taken by regulators. The overall market cap for all crypto currencies stands at over $2 trillion with Bitcoin representing nearly 900 billion. The crypto market cap is only modestly below where it was when we last updated you on results in mid-May. The number of individual crypto users is now at well over 200 million and grew by 100 million in just the last four months. That is a staggering number. And while the market cap of crypto currencies continue to be a valuable adoption metric, I can now confidently say we're seeing multiple different types of investment and adoption trends. Year-to-date VC investment in crypto and Blockchain companies stands at $9 billion with nearly $6 billion invested in Q2 alone. By comparison 2020 average is closer to 1 billion of investment per quarter.  What's particularly interesting is we are now seeing investments growing in later stage companies versus just a few quarters ago where the majority of VC dollars were focused on early stage. The technological improvements continue across the sector, notably the Bitcoin software upgrade and Ethereum’s successful London Hard Fork. Following the listing of Coinbase in April we've seen several other crypto focused companies plan to successfully list or ship forward listings to the U.S. The acceptance of crypto companies in the U.S. capital markets is a recognition of the value that these product and solutions can bring to institutions and individuals and the role that these companies can play in driving adoption to the space. Following the two acquisition announcements we made in May we have seen several other players in the ecosystem make acquisitions or find strategic partnerships with companies outside this space that are looking for a way in. This validates our view that the market will demand consolidation so clients can more operate in one place which is why the acquisitions of BitGo, Vision Hill and any others we are going to make forward will follow that road map.  We continue to see traditional institutions and broader corporates looking at cryptos and their offerings. Amazon is reportedly hiring for expertise in crypto and Blockchain. I saw Walmart today announce the same thing. J.P. Morgan was a notable skeptic from the senior level is now offering its clients access to crypto funds. The latest Fidelity Assets survey showed that 71% of institutions expect to add crypto exposure. Adoption has been widespread and mania driven, but rather it's been thoughtful and targeted for specific use cases. As Blockwork shared just a week ago 102 billion of assets now sit in stable coins alone, up from 21 billion at the start of the year. To put this in perspective, that's more than investors have added to municipal bond funds year-to-date.  We continue to believe in the power and the future of the broad Ethereum network and the NFT use case. Through both our balance sheet investments and investments through Galaxy interactive strategy, we've deployed over 50 million into 14 NFT related companies. Some of the ones I'm most excited about are Candy Digital, Mythical and Art Blocks. All of these will end up having far, far higher valuations than their marked debt now. Adoption has not been limited to institutions as governments are starting to adopt cryptocurrencies. Importantly, El Salvador became the first country to adopt Bitcoin as legal tender, driven by the fact that over 70% of people in the country lacked access to traditional financial services. Now as people have a quick, inexpensive, and secure way to send money across borders without relying on remittance firms, typically used for such transactions.  The concerns people, institution, and regulators have about crypto have come to the forefront. There have been many headlines and extensive discussions around the environmental impact of Bitcoin. That debate has led to developments like the creation of the Bitcoin Mining Council. As a founding member of the council Galaxy has focused on education around the subject, and I'm promoting energy consumption and best practices for Bitcoin Mining. Both Damien and Chris will share additional details about our efforts in sustainability and ESG in their comments.  Leverage and risk management in this space have been breaking  points of concern and debate. As we disclosed during the peak of the volatility of late May, Galaxy's trading desk remain operational with any break -- without any breaks in service while many other crypto desk exchanges saw significant suspensions and our lending desk experienced zero defaults or forced customer, liquidations and continues to run a disciplined lending business. There's good and bad risk taking and leverage to every market. While crypto is no different, we believe as some others do in taking long-term approach to financing customers in the ecosystem. We continue to be net encouraged by the tenor of regulatory and legislative developments, particularly in the U.S. We fully expected the addition of leaders like Gary Gensler in the incorporation of crypto products within incumbent financial institutions to lead to demand for robust monitoring, reporting and disclosure of crypto platforms. These demands can present near-term friction points, but we believe it is necessary step that operators in the ecosystem need to take to enable widespread adoption of digital assets.  Galaxy is committed to working with regulators and industry organizations to help drive understanding of ecosystem and the implementation of standard best practices at our other platforms. I believe Galaxy is well positioned to take advantage of these positively shifting conditions for the rest of the year. We were early in investing to build a trading business and in developing a track record in asset management and others who are ready to be all in on this space. We anticipate the needs of institutional clients in the crypto space and add to our offerings accordingly. We're focused not only in investing in this space, but on building a business that has diverse sources of earnings and direct ties to a growing slice in the addressable market. And with that, I'd like to turn the call over our Co-President and Head of Global Markets, Damien Vanderwilt.
Damien Vanderwilt: Good morning. Thank you, Mike. I want to start by echoing a warm welcome to two new Executive Committee employees that we're very excited to have joining the firm Tim Grant based in London, heading our EMEA effort and also Jen Lee who will join us in September. Two spectacular people and we look forward to having them on the team and helping us drive the business forward. In my comments today, I'd like to share some themes we're seeing in terms of our current and prospective client bases, provide an update on key growth areas for the firm, and elaborate on some key strategic updates, as well as to walk you through the performance of our asset management and advisory businesses, which both have had a really phenomenal quarter.  First, to share some themes on personally hearing from our client base, I'd make the following key points. As we expected would happen, large mutual funds have started participating in this sector, largely so far in derivatives products. We expect this trend to continue and our engagement pipeline of our institutional salesforce is extremely encouraging. Second, institutional clients are very encouraged by the recent focus by the Senate on this sector and anticipate more guidance from the SEC sector and anticipate more guidance from the SEC to be forthcoming, enabling them to allocate more capital into the sector. Thirdly worth noting is the demand for our research product from institutions is insatiable. We've tripled the size of our research team led by Alex Thorn, to enable us to research the fast growing and new sub sectors within crypto and Blockchain, the new technologies that are emerging, and further help institutions navigate how to allocate capital into these exciting opportunities in our sector.  Now turning to two key areas of Galaxy's current strategic focus. The first is our aim to meet all the needs of a sophisticated and global client base through a more considered expansion into Europe and APAC. As Mike shared, we've hired crypto, fintech, and capital markets veteran Tim Grant as Head of Europe. In this role, Tim will be responsible for growing Galaxy's presence in Europe both in terms of overall operations there for us, and in support of each business segments expansion into the region. Europe is an important region for us at Galaxy already and also for BitGo. Tim’s hire underscores our plans to invest aggressively in growth and expand to meet the increasingly global investor demands for crypto and Blockchain technology offerings. His significant crypto, fintech, and management experience within the institutional capital markets and enterprise Blockchain businesses will be integral to our plans abroad.  The second really important key area of our focus I want to highlight on is our ESG program. As we are committed to conducting business based on a strong sustainability framework that prioritizes responsible ESG practices. We are working to integrate ESG by managing and improving our ecological footprint, fostering a safe and diverse work environment, and ensuring strong corporate governance for our shareholders. Our commitment to ESG permeates at all levels of the firm, starting with our CEO and Founder. As other executives and I have established an ESG steering committee that reports directly to our Board of Directors, with our first ESG readout held just last week at our Board meeting. We've also hired a Sustainability Specialist to be dedicated full time to this program and our efforts. We look forward to sharing more results from our ESG program with you in the coming months, including clear diversity targets and environmental commitments, the latter of which Chris will discuss when he walks you through updates on our mining activities.  Now turning to our business units, I'll provide an update for our asset management and investment banking segments and my partner Chris will provide updates for trading, mining, and our principal investment portfolio. Beginning with our asset management business, we continue to see really strong demand for both passive and active exposure to cryptocurrencies, even as prices for the underlying cryptocurrencies were under pressure during the second quarter. Very clearly, several large institutions viewed the price weaknesses referenced in the second quarter as an opportunity to allocate. Even with the price asset headwinds, we saw significant net inflows into our funds. Assets under management increased by 12% from March 31 to June 30, reaching 1.4 billion while AUM did end the second quarter below, where it initially peaked in April. We just announced that as of the end of July, we are back up over 1.6 billion in AUM and as of late last week, we've jumped up to 1.9 billion, another milestone for our growing business.  Net client inflows in the quarter exceeded $650 million, confirming that the investment case for cryptocurrencies in a fund structure remains compelling. This is really important, as it illustrates new clients and capital coming into the Galaxy platform without the impact of cryptocurrency process. We are reaching over 600 investors with the majority of investors joining the Galaxy platform in 2021. Since the April launch on Morgan Stanley's platform, we've generated over $60 million in inflows from well over 300 clients demonstrating the significant demand investors have to access to cryptocurrencies. And we have at least two other large banking partner platforms that will be launching in the second half of 2021. With our partners CI Global Asset Management, we continue to have the largest Ethereum ETF in Canada, and the second largest Bitcoin ETF. Just last week, we launched the fourth index in our Bloomberg Galaxy family of indices, which tracks the DeFi sector, and it's designed to measure the performance of the largest DeFi protocols by market cap. You'll learn more about this initiative in coming weeks.  We also acquired Vision Hill Group, a premier investment consultant and fund of funds asset manager in the digital assets sector that provides sophisticated investors with access to institutional caliber investment products, data, benchmarks, and analytics for more informed decision making. We're delighted to have Scott Army, the founder of that business now integrated into the Galaxy family and helping us make inroads as we move further into asset management actively. The transaction further expands our growing product suite and enables institutional clients to access an even broader array of data and intelligence to streamline research and inform investment decisions. The acquisition is already paying dividends. We announced in July a successful close of a venture fund of funds in an oversubscribed ground. The fund is the first venture focused multi manager fund of funds vehicle from Galaxy Digital, and it's focused specifically on providing institutional investors access to pre-vetted managers investing across the Blockchain and crypto economy.  With the addition of a venture focused product, GVH now has both hedge fund and venture focused multi manager products and the ability to invest across both growing categories. As institutional investors increasingly seek trusted digital asset partners, we are thrilled to welcome some excellent new investors to this fund as well, including our partners at Franklin Templeton and Zeke Capital Advisors. Turning to our actively managed venture funds, the Galaxy interactive fund has invested the full committed inaugural fund and has already begun investing out of its second fund, putting the interactive strategy at roughly $500 million in total AUM. Very clearly the demand for investments in the intersection of Blockchain technology and interactive content is not drying up. And we congratulate Sam and Richard and the full Galaxy Interactive team for those big milestones.  Moving now to our investment banking business, led by Michael Ashe, the team continues to convert its substantial industry coverage that we've been mentioning the last few quarters into active mandates. GDIB is currently working on seven live deals and it's active pipeline includes many more potential deals. The team was also instrumental in advising us on both the BitGo and Vision Hill acquisitions. Of our seven active mandates, the engagements are primarily for capital raising given the record breaking amount of fundraising activity occurring throughout the sector. But it's worth noting as well that during the second quarter, the team won its first buy side M&A engagement, and we expect to share more as that transaction closes. Additionally, we acted as a co-placement agent to Far Peak Acquisition Corporation in connection with their announced business combination with our portfolio company Bullish.  Excitingly, we are continuously getting inbounds from top tier companies and crypto unicorns although we are seeing lower than expected sell side M&A activity across our desk, as companies see more upside from capital raises at premium valuations today than the upside from outright sales. Michael Ashe has been hiring to assist with the growing demand and historic levels of transactional and fundraising activity we are seeing in our industry. The team has more than doubled since the beginning of the year and we're actively recruiting for a senior banker outside of the U.S. to expand our global coverage.  Overall, we remain confident we'll continue to see strong growth in both our asset management and advisory businesses and in the infrastructure both Steve and Michael are building to support that expansion. I'll now hand the call to my partner Chris Ferraro, who will walk you through some investment trends we're focused on, more details for our trading and mining businesses, and an update on the exciting BitGo acquisition progress. 
Christopher Ferraro: Thanks Damien. Our trading business had a solid quarter even with underlying cryptocurrency prices largely declining during the second quarter. During one of the worst trading days of the downturn, when the cumulative crypto market cap declined 22% in under 24 hours, we were proud to share with the Street that our desks are trading volumes in excess of 6x the typical daily volumes we had seen year-to-date, and we experienced no operational or executional related disruptions while numerous other exchanges and OTC desks experienced significant outages and customer delays. Moreover, our counterparty loan portfolio experienced zero defaults and in fact, we saw no missed margin calls, nor do we have to force liquidate any counterparty positions. We are incredibly proud of the book of partnership business we have built in our lending franchise and remain focused on continuing to grow this business while maintaining institutional risk discipline as we do so.  This all speaks to the resiliency of the institutional grade business we are building and hopefully signals to our clients and counterparties that they can rely on us for liquidity and execution regardless of market conditions. And there were numerous other examples in the quarter of the confidence our clients and partners have in our business, including some partnership news that we are especially proud of with Goldman Sachs. In June we were thrilled to share we are serving as Goldman Sachs's liquidity provider for its Bitcoin futures block trades on CME as Goldman expands its cryptocurrency offering. Goldman chose Galaxy for this important responsibility because our trading platform is positioned to offer clients access to deep liquidity on a principal basis through our network of centralized exchanges and OTC counterparties.  Now turning to our business performance in the quarter, counterparty trading volumes were up over 90% quarter-over-quarter in Q2, and nearly 560% versus the prior year quarter. As we've discussed, our lending desk continues to be a source of strength and we've added multiple sophisticated clients in the past few months. In the second quarter, while total notional value of our counterparty loan book did shrink approximately 15% from our record previous quarter due to crypto asset price reduction and pay downs, our gross counterparty loan originations grew over 130% sequentially to approximately U.S. $1.6 billion for the quarter. Moreover, our  denominated loan exposure remains robust, around 30% up from almost zero at the beginning of the year, which provides a stability against notional price movements driven by crypto price volatility. And just to give you our insight into activity quarter-to-date, growth in our loan book resumed during July of this year, increasing backup to approximately $450 million in line with March 31st. And I'm thrilled to share that our inception to date counterparty loan originations have now exceeded 2.7 billion as of last week, 2.5 billion of which have occurred year-to-date in 2021.  Elsewhere in our trading business, our non-client facing electronic market making and quantitative strategies team, the Blue Fire Capital Group led by Andrew, Harry, Renata had a record quarter as they grew their market presence to trade over 170 billion of notional volume in Q2, a 70% sequential quarterly increase and grew their profit contribution significantly. In terms of overall client growth, we on boarded over 60 new clients to our trading platform in the quarter that increased the total number of tokens we provide liquidity in to over 100. We believe the scale and scope will continue to allow us to offer our clients unparalleled access to liquidity and bespoke hedging strategies for nearly all tradable assets.  Moving to our principal investments business, we've continued to invest in the most compelling opportunities across the DeFi and Blockchain ecosystem, holding now 84 investments across 68 portfolio companies. In the second quarter alone, our team made 14 investments including new portfolio companies like Ramp, Tokemak, and Aleo who we believe can be category defining. Ramp is a leading -- product that allows developers to embed the fee  and crypto connectivity process directly into their app and is heavily used today by successful and growing platforms including Axie Infinity and Sorare, both NFT based game platforms. The Galaxy ventures team was the lead investor in Ramp series financing round this quarter.  Aleo is a new Blockchain that leverages zero knowledge proofs to allow developers to create applications that have natively inbuilt privacy features. The company is led by Howard Wu, a world's leading researcher in the field, another example of cutting and decentralized tech development that Galaxy is focused on supporting. In an another example of validation for our investment strategy, we were pleased to see our portfolio company Bullish Global announced their intention to go public in partnership with Tom Farley, Dave Bonanno and the Far Peak acquisition course back. We recorded a $2 million gain from dividends we received in advance of that listing, which we anticipate can be later this calendar year. This activity is indicative of the fundraising trends within the sector, which continued to provide the company with flexibility to realize gains opportunistically. Also in the second quarter and excitingly, we agreed to launch a joint venture with a renowned venture firm, focused on pre-seed and seed stage development investing, details of which will be announced in the coming weeks. We are incredibly proud of the venture team's dedication to this sector and Galaxy’s mission within the business to source, diligence, execute on, and then help grow this sector's most cutting edge technologies and entrepreneurs.  Now turning to mining, where the team continues to build momentum in both prop mining and its mining finance offerings. As we shared last quarter, the team closed its first two mining finance deals for two separate North American miners. In proprietary mining through strategic relationships and our knowledge of the space, we've been able to secure a steady supply of hardware and continue to expect to achieve mining capacity of nearly 2000 petahash per second through monthly deliveries through the end of 2022 which is almost 2% of the total Bitcoin network hash rate as it stands today. And of course, we continue to mine Bitcoin at a significant discount to fair market value, even as Bitcoin prices have remained lower than during the first quarter.  Turning to our client facing business, our mining team continues to secure collaborative mining deals with players such as  and Argo, including a $20 million credit facility we extended to Argo. We are excited to continue providing cryptocurrency backed loans and unique my five offerings to miners across the globe. We've also been incredibly active in our industry in framing the ESG narrative, and the development of such for Bitcoin mining, with our team publishing proprietary research on the Bitcoin network's energy consumption, and in our overall commitment to our ESG strategy that Damien shared earlier. With Amanda leading the effort for us, we became a founding member of the Bitcoin Mining Council, a group of industry leaders participating in a voluntary and open forum to promote transparency, share best practices, and educate the public on the benefits of Bitcoin and Bitcoin mining. We also announced we currently are utilizing electricity with an over 69% sustainable power mix, and shared our three-year target to achieve an over 80% sustainable power mix. We look forward to sharing more about our ESG journey in future updates.  Lastly, before I hand the call over to Alex I want to provide an update on the BitGo acquisition as we approach an anticipated closing towards the end of this year. Subject to regulatory approvals, our teams are well on track to achieving close and are progressing nicely together on tactical and strategic integration planning, led by our COO, Erin Brown. I'd also like to provide some quick operational highlights from the BitGo business over the last quarter and remind you of some of the strategic and platform related benefits that the BitGo acquisition will bring.  We believe that the combined client base is going to support our long-term growth through cross selling opportunities alone, but the benefits don't stop there. BitGo has added significantly to their client base since our announced acquisition and now accounts nearly 550 clients. Combined with our over 600 trading counterparties plus our client across other business lines, this represents a significant opportunity to cross our Galaxy offerings to BitGo clients and of equal importance to sell BitGo products into Galaxy’s existing client base. On a dollar for dollar -- on dollar basis BitGo did experience modest AUC decline in Q2 as a result of cryptocurrency price declines. However, we continue to be pleased by BitGo’s consistent growth on a constant currency basis, i.e. BitGo custodies more coin today for clients than at the end of Q1 2021. AUC was approximately 27 billion at quarters end across over 400 coins and tokens supporting 150 crypto exchanges.  Moreover, the BitGo transaction enhances both our product innovation and development capabilities. After this deal closes, we'll have a staff that's more balanced between tech and finance expertise, as about 50% of BitGo is composed of R&D engineering product personnel. And BitGo has continued to hire as well, adding over 70 more employees in key functions like product, engineering, IT, and tech support, putting the BitGo technical team at nearly 100 full time employees. After closing, our clients will have the option to custody where they transact and BitGo clients will have access to the best in class prime trading asset management and advisory services at Galaxy. We continue to think this combined solution will be the premier one stop shop for access to digital assets. With that, I'll turn the call over to Alex to walk everyone through specifics of our financial performance. 
Alex Ioffe: Thank you, Chris. Good morning. We've covered a lot of ground already, I will keep my part brief. Galaxy reported 176 million loss for the quarter. Our equity capital was 1.5 billion at the end of this quarter without debt, representing a highly conservative balance sheet designed to take advantage of abundant opportunities in this market. The quarterly loss represented an 11% decrease to our equity capital. This compared favorably to a 41% decline in the price of Bitcoin and 34% decline in the overall digital asset prices during the quarter. While Galaxy carries a long digital assets portfolio, we did better than the overall market because of our diversification, active hedging, investments, and operating businesses.  To elaborate, digital assets making realized and unrealized gains in digital assets we had a 657 million decline for the quarter. But excluding other people's money, from outside investors in index funds that we consolidate, this decreases to 484 million decline. However, there is a lot of interplay between with digital assets and derivatives on the P&L. Gains on derivatives were 117 million for this quarter. Derivative gains were from hedging our positions and other activities. As an example, Blue Fire, our market neutral trading business, trade spot versus futures. Generally, we are long spot and short derivatives. As a result, in the second quarter, with declining prices we get gains and derivatives versus digital assets where we record our spot positions.  Investments. Investments are a great part of our story. We gained 214 million from investments in this quarter. We recorded investments at cost or at a significant discount to market value. Many of our investments are made at early stages and at low valuations. But, there is another piece to the investment story located in digital assets. Investments in new token protocols, once the tokens are issued, are recorded as digital assets. Typically, new tokens are made available for trading over time, similar divesting. We record restricted tokens in our balance sheet at meaningful discounts. As tokens become unrestricted and are sold, we recognize gains in digital assets. This is a brief view into why Galaxy outperformed the digital markets.  On the cost side, in the second quarter, we disclosed pending acquisition of BitGo. As a result, we were able to come out of the blackout period required in Canada since end of the year and granted equity awards to our employees. You see an increase for that in equity based compensation line on the P&L. We also decreased our bonus accrual in the quarter correlated through negative results in the business. As Mike highlighted, we're still highly profitable for the year with gains of 684 million for the first half of the year. Correspondingly, we left a sizable bonus accrual on our books.  Balance sheet, as mentioned before, equity was 1.4 billion at the end of this quarter. Cash increased to 410 million at the end of the quarter. The 300 million increase in cash position was driven by realized gains on investments and from -- new points in digital assets. Derivatives gains and the start of our prime brokerage business, please notice a new line item on the liability side of the dollar sheet payable to prime brokerage customers.  Now, I would like to give corporate news, changing auditors. As part of moving our public listing to the U.S. and growing into a much larger company, we retain KPMG as our auditor, starting with the third quarter of this year. We would like to welcome KPMG to Galaxy and very much look forward to working together. We would also like to thank Davidson, our Canadian auditors for the exceptional service they provided and continued to provide to Galaxy. We enjoyed working together and greatly appreciate their local expertise and Davidson’s talented team, many thanks. With that, I will turn it back to the moderator for questions. 
Operator: . Our first question comes from the line of Mark Palmer with BTIG, you may proceed with your question. 
Mark Palmer: Yes, good morning and thank you for taking my question. First of all, could you talk a little bit more about the opportunity in EMEA freeing up the potential impact of that opportunity and how we should think about the timing during which it will be ramped up?
Michael Novogratz: Damien, you want to take that. 
Damien Vanderwilt: Absolutely. So, I think the way to think about that, Mark and thanks for the question, is every one of our business units is going to need to have an expanded footprint in EMEA that will largely replicate what we've got set up here in the United States. So we will have an increased presence in our GDT, our Galaxy Digital Trading business there that will have both trading and sales personnel. We will have a significant presence in asset management distribution. There are also some very interesting asset management organizations in Europe and we're a good partner, you know about our CI partnership in Canada and we'll be exploring similar things that present opportunities to us there and in Asia.  If you think about our investment banking business, we need to have originating bankers and execution folks on the ground in Europe. And then more specifically, I'll let Chris comment on the venture capital side. We already do have pretty high connectivity there, but the possibility to have further on the ground investment personnel, and then Amanda and the mining team, again, are already scouring Europe but may well have individuals on the ground by the first quarter next year. So now that Tim is in his seat, it's actually his first day today, we're going to go full steam ahead to put those positions in place. And so you should expect them to be feet under the desk by the middle of the fourth quarter, I think is a reasonable expectation and us in full swing when we start 2022. 
Mark Palmer: Thank you. One… oh, sure please. 
Michael Novogratz: No, I just was going to quickly add just on the investing side in particular as Damien alluded to. We actually sourced today and execute globally, it's a global industry in some ways boundary less. And so, we have good presence there already. We've actually -- we've made a handful of investments in international companies in the EMEA region. We also have invested in some partners who have feet on the ground and give us sort of direct expertise and access in certain regions there. We will expand our personnel footprint as well, particularly as the regulatory landscape shifts so that we are clear on we understand where the opportunities are going to be when they happen in different jurisdictions globally. But -- so that’s how we think about it on the investing side. 
Mark Palmer: Thank you and just one follow-up. There's has been some discussion of where DeFi could fit into Galaxy’s mix. If you could put a finer point on exactly what that could look like, does that involve access to DeFi protocols with the associated yield or other ways in which that would be manifested? Thank you. 
Michael Novogratz: Chris, you want to take that? 
Christopher Ferraro: Sure. Yes, we are spending a significant time in and around DeFi for a while now. Our balance sheet exposure and investing portfolio already, both on the trading side as well as the longer-term seeding and backing side of the investment portfolio have had direct exposure for quite some time now. And we don't see that declining or decelerating anytime soon. On the product offering side, we are spending a lot of time particularly with the BitGo team and with external partners in talking about offering and staking, which we think is going to be an integral part of custodial product offering on a go forward basis, particularly as larger and larger networks, crypto networks launch that required proof of stake and staking in order to interact with the network. And so, I would expect that you'll see our product line have that added to it, particularly with the combination with BitGo. Then from there, we've spending a lot of time as well with regulators in particular on walking through different processes, policy procedures on how we can and should interact with DeFi networks in anticipation of developing basically access windows and products for our clients to then access those networks in a compliant fashion through Galaxy and with Galaxy’s help.  So that’s sort of on the how we invest, how we think about the operational side, how we think about the product side of business. And even operationally, I would say we've actually tasked internally across the entire firm for every business line to investigate how different parts of the business could move unchanged and we think operationally and from a cost structure perspective, we tend to not just talk to talk, but we also intend to walk the walk as an organization. And so that will take some time to develop, but everyone here at the company is focused on how can we decrease friction, how can we move our businesses on chains. And that’s going to be an ongoing development issue for us for a while to come. 
Michael Novogratz: It's Mike here, let me just add one thing. In some ways, getting access to the best founders, you've got to have something to add. And so our venture team is out there constantly meeting with the guys building the new protocols. We want to be a place where we can invest in your protocol. We can have the BitGo team build wallet and custody. We can have our trading group market making it. And so all of the sudden, it really spends our whole flywheel, but it provides a real service to the new protocols to get them up and running. Talking to our clients meaning a spokesperson and so we think we're going to have a great -- we already do have but we are going to increase a great offering to what we think will be the best protocols that kind of remake finance. And that should spin through the whole system. So, I couldn’t be more bullish about almost any space. I go back and forth between NFTs and DeFi.
Mark Palmer: Thanks very much. 
Operator: Our next question comes from line of Mike Del Grosso with Compass Point. You may proceed with your question. 
Michael Del Grosso: Good morning and thanks for taking my questions. I guess the first one is on a few partnerships that you announced this quarter. Wanted to kind of get some insight into what led to those. I mean, there are pretty significant names in the traditional finance space with CME and Goldman, but maybe provide some color on how Galaxy is positioned and what kind of led to those wins and maybe the pipeline for those types of wins going forward? 
Damien Vanderwilt: Mike you want me to hit on that? 
Michael Novogratz: Why don't you, why don’t you? 
Damien Vanderwilt: Sure. So, the partnership model for us is an incredibly important one as the sector develops institutionally, there is going to be a big role for a blue chip firm like Galaxy to play to really be the hub and spoke model to large institutions that cannot currently handle coin transactions. And so the major banks, one of which I think you're referencing the Morgan Stanley transaction and there many others are in a position where their client base both in their ultra-high net worth channels and also your institutional client base are seeking to have those organizations provide products to allow allocations or exposures. And the only way that the organizations can do that currently is by working with a partner that can handle the back end. And so in the Morgan Stanley example, we really provide the back-end fund infrastructure for their RIA to be able to go and allow their high net worth customers to make an allocation into Bitcoin or Ethereum in the way that they are used to doing off of the fund platform. We believe that will remain the case and the need for our services to help with that for a significant period of time.  The same is true in the institutional space where there's a large structured product appetite and this also actually demand from financial institutions who can't handle coins to be able to have exposure through derivatives under swap and to be able to participate in the ecosystem and back to back institutional client demand. So Galaxy will sit in the middle as one of the non-conflicted market making organizations to this group. I specifically used the word non-conflicted because we don't have our own exchange, we don’t have our own venue, and so we're not conflicted with how much liquidity we're trying to put into our exchange. We're a firm that goes and seeks the best liquidity from the network of exchanges that we're connected to around the world. So you're going to see more of that. I mentioned in my comments, that there will be another two bank platform deals announced in the second half. And you'll see us continuing to explore at partnerships in the listed space. 
Michael Del Grosso: Great. That's helpful. Helpful color. I guess on the structured space, a similar question, I guess with what you -- I guess Mike, you mentioned before about as far as financial products are concerned, you've been a fairly strong advocate for a Bitcoin ETF approved by the end of the year. Has any of the recent commentary from the administration or again more specifically alter your view points on the timeline for that eventual approval? And then I guess part B of that question is the Infrastructure Bill that got passed or is poised to get passed and the definition of broker, any callouts outs or anything we should be looking for, I know it's not going to be implemented till 2023 as it's currently written, but any impact on the business as you see it in its current form? 
Michael Novogratz: Yeah, listen, I think Treasury is already kind of walking back. The Infrastructure Bill was a way that Treasury was trying to sneak in the ability to regulate without accident for a proper process and they got called out. And I think Congress was embarrassed by the and taken off guard quite frankly by the violent reaction, I would almost call it violent of the broader crypto community. And I think there is an understanding that everyone has always thought we should have fair regulation and people should pay their taxes, that we're going to get to a place, which is good and fair. And I think that's why crypto has gone up post that Bill. People realized they can't screw around with crypto because there are a lot of voters. Gensler wants to regulate crypto because he's an ambitious guy and he's smart and he understands that he doesn't have the authority to in lots of ways, right. And so there's already a little bit of battle between the CFBC and the SEC and we'll see that play out. I think when it comes to the EPS, he has made it clear in the last two times, which is surprising to me that he favors a futures space ETF. I think it's a mistake, though listen, to give you every single person in the ETF game is going try to figure out what the SEC will allow and have a product that fits that need. I think the cash ETF would be a better product. It doesn't mean in futures you get a bad product. It’s just these are monthly futures, so there's a monthly futures role every time. I don't think it's the best way to set this up and that's what it looks like. He's at least target signaling. That's an easier approval for him. Is it fourth quarter or is it first quarter next year, I don't know. I wish I could, but it's certainly coming. 
Michael Del Grosso: Great. I appreciate the color. Thank you. 
Operator: Our next question comes from the line of the Jamie Friedman with Susquehanna. You may proceed with your question. 
Jamie Friedman: Hi. Good results here and thanks for the presentation. I just wanted to ask, in your prepared remarks, Mike you were commenting that there are enormous number of new entrants in this space. And I guess my question is, which I think Damien you addressed that to some extent in your prior answer, but how do you see that as impacting the competitive positioning of the companies, are the new entrants a good or bad thing for Galaxy and why? 
Damien Vanderwilt: Yeah, let me take that. Look, we as an industry are still young, very young. And so what makes an industry is lots of people in the tent. And so we're still in the position of trying to bring people into the tent, into the understanding what crypto is, into the kind of understanding that this is more than just Bitcoin, it's building infrastructure to build the future financial services of the world. And so capital end of the space is a net good for Galaxy. It increases our portfolio value immensely, but it also increases our chance to trade, chance to advise, chance to be great asset managers. Our challenge is recruiting the best and brightest, right. Our assets go up down the elevator every day. That’s why we just spend so much time bringing in the chief people officer, the human capital business. And there's a lot of competition for human capital. And so, we don't see the competitor as competitors, we see them as collaborators in some ways, because we're still so early, but we want to be one step ahead of everybody. 
Jamie Friedman: Okay. And then just maybe a follow-up to that. With your observation that Bitcoin was down 41% but your business was only down 10%, is that simply the diversification of the business that you're referring to? 
Damien Vanderwilt: Yes, listen it is our actual operating business that is starting to make money, which is great. It's our other investment portfolio doing well and it's our management of our core coin position being better than just neutral. And so you add the three of them together and you make up the difference of what it would be if we just have the whole portfolio in Bitcoin. And so, over time, I would expect our operating businesses to generate more and more of the revenue on a more steady basis and our investing businesses to still be important, but to be less important. Again, we're really early. We're a three-year old company, we're really early in the building of the infrastructure. And so, we bought BitGo because they are an infrastructure play. They're going to help us with growing the custody business, growing wallets, building on chain, all of the things that are very scalable in long tail. And so you'll see us transition of how our earnings volatility is over time. It just doesn't happen overnight and it lasts with 100 volts. 
Jamie Friedman: Alright, thank you guys. I'll drop back in the queue. 
Operator: Our next question comes from the line of Owen Lau with Oppenheimer. You may proceed with your question. 
Owen Lau: Good morning. Thank you for taking my questions. Could you please give us more color on principal investments, I think you invested in RAM, total mig, you also earned $2 million in dividends from Bullish. Could you please talk about the monetization opportunity there, I mean, if a company -- if one of your portfolio company goes public, it goes back, you usually get dividend or you have to wait until after they go public, I just want to get a better understanding of the dynamics there? Thank you. 
Michael Novogratz: Chris, can you take that. 
Christopher Ferraro: Yes, sure. So, our investing portfolio is becoming more and more diverse. Today it actually spends early stage venture equity investments that we expect are going to have a much longer duration. Although in crypto, we've actually seen the duration of those investments be significantly shorter on average than what your traditional venture capital position would be. So, I think if you look at our results historically, you've actually seen a number of realizations in the portfolio despite the portfolio being young and our company being pretty young. So, we have early stage equity crypto venture investments. In a lot of cases those actually turn into liquid tokens that are either tradeable, realizable, or have some initial schedule that we have the ability to actively manage and realize over a period of time post that listing. So, we have those equity investments, we had token investments. We actually have now some public equities that we've ended up with by virtue of having successful private investments. And so that's how we end up on  shares because we had made two investments in companies that Coinbase had bought, which then turned into a Coinbase public equity shares. So in general, we've seen the trends, we've seen a number of crypto companies end up in the queue to be acquired by our staff and get these back. We have a number of those actually in our portfolio today.  The spectrum of our liquidity in those is a facts and circumstances spectrum. And so in some cases, we will have an immediate liquidity, in some cases we were earlier investors, we will have a short customary market standoff, which is pretty difficult. Those deals maybe 180 days, something like that on average. But we do have opportunities for liquidity. So, I think the last thing we want to do is monetize in investments early when we think it has massive growth potential which is a little bit of a problem when investing in this space. But I think we've actually demonstrated and you'll see us continue to demonstrate some prudence in terms of taking realization opportunities in small amounts when we see them and when we think fit. And it's happened historically, and you'll see it on go forward basis. So we will turn the portfolio faster than your average venture capital fund. 
Owen Lau: Got it. That's very helpful. And then I want to go back to the regulatory development. Mike, you just talked about a tax reporting requirement but what other specific regulatory clarity you would like to see to accelerate adoption in this industry. I felt like given that SEC Chair stand over the past few weeks, it seems they are based still with discrepancy between the SEC and the crypto community on whether there is enough regulatory clarity, do you think things like, which token should be classified as securities or commodities would be good for the adoption longer-term? Thank you. 
Michael Novogratz: 100%. We're not there yet. I think and I hope you didn’t hear me wrong, what I think was impressive about what happened in DC 10 days ago, was that there's a real recognition now that every Congressman and Senator has to get up the curve, has to understand what crypto is, what Blockchain is, and they are scrambling to do so and that's a great thing. Because with intelligence we're going to get better regulation. It is important for us to understand what a broker is, is it Coinbase, that's a broker, okay. We can all agree that's true, but is it mining? No, it is not. Is it DeFi? Well, that's -- you're going to hear against or try to argue it is and you're going to hear first amendment to advocate say it's just the code, you can't regulate code, its free speech. And so, there are a lot of gray areas that still need to get decided on. What I'm not optimistic on is they're going to get decided on.  The other part is what's the security and what's not a security. Gary has been pretty clear to some degree, but haven't -- the SEC hasn't really laid out guidelines, right. They like to regulate by lawsuit as opposed to setting rules up and that's frustrating. And so we're going to see that evolve over time. But the clear that becomes, the better it is for the whole industry. Unless nobody wants to drive off the innovation. I mean, if you think Bitcoin, I'm sorry, Galaxy plus BitGo, it's going be 400 to 450 employees by the end of the year if not more, all making good salaries, all new jobs in the last few years. Like, you'd be crazy to be a Congressman or Senator and say, let's drive that offshore, right. And so, I think the wakeup call is, how do we get the rate regulation, how do you leave enough room for innovation even if it's not a perfect set of rules. Doing air to the side of letting innovation and young industries go. And so, listen we need as an industry to do a much better job and Galaxy is going to be part of it by educating the people in DC. But it drives me crazy that the progressive politicians don't see crypto as a progressive instrument. It is widely progressive. It cuts out the rent takers in lots of ways. We have a banking system where you pay on average $4.50 fees in ATM where there's been, I think $12 billion of overdraft fees last year, mostly overdraft fees happen to people who have less money. And yet the progresses are like trying to protect the banks and are nervous about crypto. And so a lot of this is just education. And again, I think 10 days ago was a big wakeup call for everybody, our side and their side to really increase the education. 
Owen Lau: Thank you, Mike. 
Operator: Our next question comes from the line of Rick Repetto with Piper Sandler. You may proceed with your question. 
Richard Repetto: Yes. Good morning, Michael and team. And I guess the first question is around DeFi, NFT, and EFT  Mike. You talked about how optimistic you are about the opportunities there. We've seen if you look at Coinbase’s results, at least in the last quarter trading of Ethereum was a bigger percentage that it has ever been, or at least been over the last few quarters. And I guess the question is, institutional trading came up too. So our institutions, do you see them on to this Ethereum more focused on the things that Ethereum can generate versus just Bitcoin or what you're feeling about that? 
Michael Novogratz: Yeah, listen I think most people go through the same journey in crypto. They start with Bitcoin and they say, wow, this is pretty cool. This is a first ever peer-to-peer, a digital store value with digital gold, that’s easy to get your hands around. And it serves a huge purpose in people's portfolios. If you are worried about the divestment of the currency, Bitcoin is a perfect solution. That's only one part of the crypto revolution, right? In some ways the more radical part, the broader part is what Ethereum is building. Can we build the base layer of trust for other stuff to be built on top of for DeFi protocols right enough to use transfer of value on the internet to be built on. And it's really hard to understand what the total addressable market of that is, right. I mean, I said pretty recently, if Ethereum is the currency of culture, who the heck knows what the TAM is. And that's what the excitement on Ethereum is right now. So yeah, all the hedge funds and all the biggest institutions are starting to look at Ethereum just as eagerly as they looked at Bitcoin and say, hey, if you can kind of deal with bit Bitcoin’s TAM in the short run, what percentage of gold is, right. If gold surely  in our assets Bitcoin is 900 billion or 9% of gold right now. At one point, I think Bitcoin will become 100% of both. It is not going to happen in a year, it is not going happen in two years, but it's going to happen over time.  And so what's Ethereum target, how do you try to create value around a network. Harder to figure out but what I know right now is it is growing in an accelerating pace. The NFT market is growing at a stunning pace and it's shocking I mean how fast it is moving. The DeFi market, the amount of talent coming in is growing at accelerating pace. And so, when you invest in something where the second derivative is positive, where the secondary level growth is growing, like not just growing but growing at an accelerating pace, price usually goes up. And so we're very bullish at Ethereum. Listen there are other layer one protocols, things like LUNA, things like Solana that are booming as well because people say, hey, Ethereum probably is the winner, but is it a 100% sure it's going to be the winner poke a dot. And so the whole level one space right now is all very exciting. But it's because people are seeing where this is going in three to four years, they're seeing that NFTs aren't fad, that it's a way that we are going to monetize value and creativity. 
Richard Repetto: Good, got it. That's super helpful. And then just my follow-up and not to harp on the regulation side of it again. I'm not sure what you get with the futures ETF versus the cash ETF. And then I think, believe the quotes of rule that the cash ETF is a security where Gensler has been pretty upfront that he considered Bitcoin a commodity and that's been established. But the cash ETF, at least the courts have ruled that's his responsibility. So, I guess the question is, do you see anything, any movement from Congress or to give him that power because at least do you agree that until we can regulate the crypto exchanges, he's probably not going to approve a crypto ETF? 
Michael Novogratz: I'm not sure if that's the case. It is complicated stuff, right. Once you put something in ETF by definition of the ETF it is a security, even the underlying thing in the ETF is not a security. Gold ETF is a security but gold is not a security. And so how we determine who regulates what is complicated, I think you see the Head of the CFBC kind of shot back across the battle after Gary was trying to kind of take the whole spot himself, that'll get worked out. Like I said, we're going to invest more in trying to help them get to the right answers and understand the dynamics of what's happening down there. In some ways, you always want no regulation until you get good regulation, right. Status quo is much better than bad regulation. But you'd rather have the right regulation and I'm hopeful that we're going to integrate towards that. 
Richard Repetto: Great. Great. Thank you. That's all I have. 
Operator: Our final question comes from the line of Kevin Dede with H.C. Wainwright. You may proceed with your question. 
Unidentified Analyst : Hi, everyone. This is Sansa Cash  in for Kevin Dede. Still new to the story so, apologies, if any of these questions are redundant. Just kind of wanted some more color on how you see the competition in this space, do you see some more consolidations like your competitors acquiring, more companies trying and build out their business lines, and what kind of technology relating to crypto and DeFi are you looking at specifically? 
Michael Novogratz: Yeah, there's going to be a ton more competition period. Every single day, someone else announces that they are coming into the market. Now, we see that as opportunity set. We want to help those people get their crypto strategy set up. So are they're going compete directly against us in sales and trading business. There are a few major competitors. They're going to be hiring as fast as we are and they are going to be going after the same business. But you can't imagine an old securities where there was just Goldman Sachs. It's always an owned up oligopoly, it's Goldman Sachs and Morgan Stanley and Merrill Lynch and Barclays. And so we expect to be one of the key players in each of the businesses we enter.  In the venture space there's amazing competition and money pouring in. That's why you've got to have something in each area that differentiates you. We've got great investors in the venture space, both say Richard Kim on the Interactive side, Michael Jordan and John Cole on the more traditional DeFi side. We're building great teams in those spaces. But we're competing against guys that are wildly smart and wildly well resourced. And so, I think in each space we look at competition as a good thing, but certainly understand that you got to be good to win. Again in five or six years, my answer might be different but right now, bringing people into this tent, credentializing the space and growing it is the most important thing for our success and quite frankly for our stock price. 
Unidentified Analyst : Yes, that's great color. Thank you. Could you talk a little bit more about how you hedge if I recall correctly, I think you train desk was partially long spot, are short futures a way to hedge? 
Michael Novogratz: So we have lots of trading strategies. We have an arbitrage trading strategy, which takes advantage of the dislocations in markets. We hedged through options sometimes but the market has done -- has a risk of downside in volatility it seems we might buy puts. We hedge by selling coins that we think are not as long-term sustainable or leverage too fast price moves. We can sell one coin versus another. So all kinds of trading strategies could try to mitigate our downside risk. If we had a crystal ball, we would have sold lots of Bitcoins at 60,000 and bought lots more at 30,000. But that’s a tough game, so we try our best to understand where markets are going and to play the ups and downs in the markets, while the whole time keeping a core position and a fundamental belief that all of these coins are the good ones will be significantly higher in value 12 months, 24 months, and 36 months in the future. 
Unidentified Analyst : Great. Thank you. And just a more general question. Do you have any expectations for Bitcoin price at the end of this year and maybe in five years? 
Michael Novogratz: The end of this year is -- it's a good question. I think we will go back and at least retest the highs of 60,000. We're 46,600 as we speak. And so I think there is enough momentum that it looks like we shouldn't retest the highs. In five years could we get the 50% of gold which is -- 250,000, it seems like a reasonable target. I just look at the adoption, I don't see what's going to change is the momentum that we have. 
Unidentified Analyst : Okay yes, that's great color. Thank you. Really appreciate it. 
Michael Novogratz: Alright. Thanks guys. 
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time.